Operator: Good morning everyone and welcome to Renault first half results conference call which is broadcast live and in replay version on our website. Presentation five, press release and activity pack for this calls are all available on our website in the finance section. I would like to point out the disclaimer on slide two of this pack regarding the information contained within this document and in particular about forward-looking statements and invite all participants to read this.  Today's call is a bit earlier than usual due to a very busy reporting day and it's scheduled to last about one hour. The presentation will be made by Dominique Thormann our CFO. He will start with a review of our operations and we will then follow-up with the outlines of our results and the outlook. Presentation will last about 30 minutes and will be followed by Q&A session. Dominique will be joined by Thierry Bolloré, our CCO and Jérôme Stoll, our CPO. Without further ado I will hand over to the management.
Dominique Thormann: Good morning everyone and apologies for the early morning start to all the Europeans on the call. As you’ve already seen from the headlines the Group’s financial results for the first half of 2014 show that Renault managed to improve its operating margin in the auto division in a contrasted environment. This comes notably from a recovery in Europe which offset declines in most of our emerging markets. It is also the result of a very good performance on the cost side as well as expanding business with our partners. Our automotive operating free cash flow is slightly negative in the half due to the working capital requirement but remains under control and in-line with our full year guidance to be positive. In light of this first half result we’re confirming today our overall guidance for the full year. Let me start our performance analysis with our commercial figures on slide five. Our group unit registrations grew 4.7% to 1.37 million units. While we outperformed a total industry which grew 4.1% coming mainly from the U.S. or China where we have no presence or a very limited one. Our sales had a contrasted situation between business in Europe and outside of Europe. In Europe which for once was a bright spot, our sales were up 18.1% while sales in International markets decreased by 8.9%. As a result our non-European business represented 43% of sales compared to 50% in the first half of 2013. The next set of slides will give you more detail by region. Starting with Europe on slide 6, the total industry was up 6.5%. We increased our registrations 18.1% or 119,000 units reaching a total of 776,000 in the first half. Approximately one quarter of this performance is due to the expansion of the market, but three quarters comes from our own performance. As a result our market share grew one full percentage point during the period exceeding 10%. We’re particularly pleased with the outstanding performance achieved in France where our share increased 2.4 percentage points despite a relatively slower recovery in that market. This performance came mainly from the success of our B-segment cars namely Clio, the leading selling car in France and third overall in Europe Kaptur also leader of the segment in Europe and finally Sandero. I would also like to highlight the continuing success of Duster which was refreshed with a Phase II. Renault brand sales increased 13% in the first half to 582,000 units while Duster sales were up 36% to a total of 195,000 units. In the first half Duster was the fastest growing automotive brand in Europe. The order book improved during the first half and at the close stood at a higher level than in the same period last year. In the Americas region on slide 7, the market was not as good however we were able to increase our market share in the region by half a point and limited the decline in our registrations to 4000 units or 2.1%. As you all know the situation in Argentina is very challenging with auto sales off 24% in the first half. The situation remains very volatile and unpredictable. As I explained during our first quarter conference call our business depends in large part on the availability of foreign currency needed for us to import parts and built up units. Our allocation did not improve during the second quarter thereby constraining our ability to supply the market. In Brazil despite a weakening market which was off 7.4% we managed to increase our registrations by 8% in the first half compared to last year. As a consequence we regained one point of market share in the period and achieved an all-time record share of 7%. However in making comparisons remember that our sales in the first half last year were depressed due to the shutdown of our plant. The Brazilian government’s decision not to increase the IPI tax in July as originally planned will certainly help to limit the decline in the market but we do not believe that that decision will be sufficient to fully reverse the downward trend seen in the first half. We forecast a market decrease of 5% for the full year. As for our own registrations, we’re counting on the launch of the new generation of Sandero this month to support our business. As you can see on slide 8, Eurasia also suffered from a downturn in the market. After having held relatively well in the first quarter falling only 1% total demand fell 11.3% in the second quarter as a result of the Ukraine prices, currency devaluations and increases in interest rates. Our market share in Russia and in the region remained relatively stable but our registrations declined 8% in the period. It is worth noting that we have not yet seen the full benefit of the new Logan which was launched in March. Visibility in this region in the second half is poor. Our assumption today is that the Russian market could be down 10% this year. As for our own registrations we will count on the launch of the new generation Sandero in the second half in order to outperform the market and grow our share. As concerns Avtovaz, Renault and Nissan finalized the transaction in June and now hold together 67% of a joint venture called Alliance Rostec Auto BV which in turn holds a majority of Avtovaz. At this stage Renault remains below the 50% threshold and will not consolidate Avtovaz before 2015. Turning to slide nine, Euromed was also affected by a severe slowdown. Key market such as Turkey or Algeria experience double digit declines. In this context our registrations fell 15% as you can see from the slide this loss came exclusively from the market as the group share performance held steady. We also managed to keep our leading position in the region in key markets. Finally concluding the regional review on slide 10, the Asia-Pacific region also faced a mix situation. On the one hand despite a sequential improvement in the market during the first half, our business in India declined sharply as we focused our sales mainly on Duster which is our most profitable model. On the other hand we recovered in South Korea and regained share thanks to the success of QM3. In Iran the situation remain constrained by the sanctions regime. We lost 13,000 units in the first half and have no visibility at this stage on how sanctions will evolve in the second half but we’re ready to restart business conditions permitting. The ends our sales update and I will now turn to the financial review. On slide 12, we show the full P&L for the group. Starting with the top line group revenues reached €19.820 billion a decrease of 621 million from last year or 3%. The next line shows an operating margin improvement compared to the previous period. This results primarily from our cost performance and from the growth of our business with partners. Net income stood at €801 million up €704 million compared to the first half of 2013 which had been heavily impacted by non-operating charges. Before starting to review in more detail you will note that we slightly changed the walk down presentation for revenues and operating profit. We did this so as to be consistent with the structure we used when we presented our mid-term plan. We believe that this structure will provide you a better insight into the way we’re managing our business. In order to make sure that you can reconcile your data with our performance reporting you will find the walk down of the previous ridge [ph] in appendix. That being said, let me now start the financial performance review on the next slide number 13 where we show the revenue contribution by activity. Group revenues in the first half were 3% below last year despite registrations being up 4.7%. This drop came from the automotive business which showed a 3.3% decline in the period at €18.739 billion. Revenues from our captive sales financing company, RCI Banque were almost flat at €1.81 million in the period versus €1.58 million in the first half 2013. I will start by reviewing the breakdown of revenues for the automotive activity on slide 14. Starting on the left-hand side of the page, the first item volume shows a negative impact of 2.6 points. This decrease occurred despite a 4.7% increase in our registrations during the period. This gap is explained by an adjustment in inventories in our independent dealer network that I will detail later in my presentation. The geographic mix is slightly positive reflecting higher business in Europe versus emerging markets. This impact accounts for 0.5 points. Sales to partners representing mainly the sales of parts, components and built-ups to other car manufactures with positive by 2.6 points highlighting the strong momentum achieved to buy this business. The fourth item to note is the mix effect which is almost neutral as our sales in Europe were largely driven by the recently launched B-segment products. The fifth item is the price effect which is positive by 0.5 points showing no improvement in the second quarter. This was due to several reasons starting with a lower need to increase prices in emerging markets as currencies were less adverse. Competitive pricing in Brazil, incentives in Europe to support aging models and an effort to reduce the inventories of independent dealers. The next item is foreign exchange which is negative €800 million or 4.1%. The major impact came from the Argentinean peso, the Russian Ruble and the Brazilian real. The last item named others is minor, it represents the other activities outside the scope of new car business mainly spare parts wholly owned dealer business and buyback through statements. I will now turn from automotive revenues to the group operating margin variance analysis on slide 15. The first half operating margin for the group totaled €729 million an increase of 146 million compared to last year. The walk down on this slide compares this year’s impact to the previous period and I will start the walk down reading left to right. Cost reduction activities contributed positively for €412 million, as we explained when presenting our mid-term plan cost reductions form a necessary foundation of our margin improvement. Total Monozukuri savings amounted to €3.90 million in the first half of 2014 compared to 206 million in the first half of 2013. Please note that the strong contribution came partly from a seasonal effect which is different from last year. As a consequence our first half performance will not be repeated to the same extent in the second half. In more detail Monozukuri cost reductions came from purchasing savings totaling €206 million, warranty costs were negative €78 million relating notably to stricter reserve criteria used for the two year warranties. Manufacturing and logistics cost decreased by €165 million reflecting better utilization of capacity as well as the positive impact coming from our competiveness plan in France. R&D in the profit and loss account decreased by €96 million in the period as the capitalization rate moved from 40% in the first half of 2013 to 46% in the first half 2014 in-line with the product development milestones. Finally G&A cost decreased €22 million illustration the strong efforts deployed by the company to limit fixed overhead costs. Raw materials produced a tail wind of €71 million. Mixed price and enrichment impacted negatively for 177 million. This deterioration resulted from product enrichment, incentive needed on some aging cars and marketing expenses. For example in Brazil we had to manage the end of life of our local best seller the Sandero in a declining market while in Europe we managed the run out of Twingo which is being replaced in a competitive pricing environment. We also increased our marketing investments in the Renault brand ahead of key renewals coming next year and the year after. Last but not least this item was negatively affected by a rebound in our European sales which is the most competitive and regulated market compared to other regions. Since our European business represented 58% of our volumes versus 50% a year ago this increase in sales mechanically impacted our net price enrichment negatively. Our pricing discipline combined with our intention to reinvest part of our cost gains in product competitiveness during the plant period remains consistent with what we told you in February. The next item which includes group volumes plus sales to partners shows a €32 million negative impact. This results from a decrease in the number of units invoiced which was almost fully offset by an increase in sales to partners that contribute to absorbing fixed costs. We also decided to combine RCI Banque with the other businesses outside the scope of new car sales in this presentation. Combined, it yielded a positive contribution of €85 million. Last but not least adverse currency rates caused a material negative impact of €213 million. We note some easing in the second quarter as well as a positive impact coming from the Turkish Lira for example. In total for the first half of 2014 the group’s operating margin reached €729 million or 3.7% of revenues to be compared to 2.9% in the same period last year. Page 16, shows the split by operating sector. The automotive division posted a €348 million operating margin or 1.9% of revenues. The performance of our sales financing activity remained a key driver of our profit as RCI Banque posted a €381 million contribution through group margin which is 9 million better than the result achieved in the first half of 2013. The next slide number 17 provides more detail on RCI Banque’s performance. New financings in the period increased materially to €6 billion versus 5.6 billion in the corresponding period last year reflecting the rebound in business in Europe. Average outstanding loans grew 3.3% at €24.8 billion while net banking income increased seven basis points thanks to a good contribution coming from fee based services. The cost of risk remained under control showing a slight deterioration at 47 basis points of average outstanding’s versus 0.40% last year. Finally cost were contained keeping our operating expense ratio at 1.58% of average outstanding loans or one basis point above last year. In total the pretax return on assets reached 2.9% versus 3.2% in the first half of 2013 while the return on equity stood at 17%. Now that we have covered the operating margin variance I will continue down the P&L with the other operating income and expense items on page 18. Last year these items were particularly negative and included the impact of the discontinuation of our operations in Iran. This year’s net charges are significantly lower at €265 million and are mostly the result of continuing provisions linked to the competitiveness plan in France and some further impairment of assets. Continuing down the P&L the next item is net financial income and expenses on slide 19. The net charge decreased from €139 million to €124 million and is mainly the reflection of the carry cost of liquidity. The next slide number 20 shows the impact of associated companies in Renault’s P&L. Following Nissan’s results published yesterday the contribution for the second calendar quarter in Renault’s accounts came to €374 million taking the first tier impact to €789 million up €23 million compared to the same period last year. Renault’s share of Avtovaz’s results which is consolidated with a three month time lag posted a negative €55 million versus a negative 10 million in the corresponding period last year. As you know from Avtovaz’s disclosure the company is currently implementing a significant restructuring plan aimed at restoring its profitability. I will turn back to the P&L for the last time on slide 21 with a net tax charge for the first half came to a negative €264 million exactly the same number as in 2013. Bottom-line net profit after tax came in at 801 million versus €97 million in the first half of 2013. After taking into account minorities, the net result per share came to €2.75. Now that I’ve completed the analysis on the P&L I will turn to slide 22 on the evolution of net automotive debt. Cash flow from operations totaled €1.742 million. Changes in the working capital requirement impacted negatively by €861 million. Net tangible and intangible investments came to €1.241 billion in the first half versus €1.548 billion in last year showing our discipline in managing our capital expenditures as well as benefits coming from synergies with Nissan. As a result automotive operational free cash flow came to a negative €360 million in the period. Dividends received from quoted companies totaled €243 million while dividends paid during the half came to 508 million. Other financial items were negative for €345 million including the cash payments to our joint venture in China and our increased stake in the Alliance Rostec Auto BV. In total our net automotive financial position came to 791 million at the end of June 2014 down from €1.761 million at the end of December 2013. Slide 23, shows the inventory situation across the consolidated chain of both Renault’s balance sheet and the independent dealer network. Thanks to the strong sales volume momentum and supply chain management we were able to curb our initial inventories -- our global inventories in the second quarter. They stood at 495,000 units at the end of June versus 527,000 units at the end of March or a 62 day supply in-line with our internal target. At the same time we’re able to reduce the gap between independent dealers and group stock resulting in a negative volume impact on our P&L bridge. The stock adjustment also explains the working capital requirement which I showed you in our automotive free cash flow during the period. This completes my financial review for the first half of 2014. Before concluding and taking your questions. I would now like to share with you our views on the rest of the year and the risks and opportunities as we see them. Given the circumstances we’re satisfied with our first half results which support our strategy and put us on the right footing to achieve our mid-term targets. In the short term the second half will bring a mix bag of risks and opportunities. The main risk identified for the rest of the year remains the downward trend and lack of visibility in our main emerging markets. As I already mentioned in my presentation we forecast a further decline in Brazil and Russia. We have very limited visibility on Turkey, Algeria and above all Argentina. However our product cadence has been strong and our recently launched vehicles have performed at or above plan. The strengths of some vehicle such as Sandero will help mitigate market headwinds in Brazil and Russia for example. In Europe it is clear that comparisons to prior year will become more challenging in the second half as the market had already started its recovery in the fall of 2013. Overall the main risk would be for the recovery to lose momentum throughout Europe. In Europe we will also have to manage the lifecycle of some aging products which will be replaced next year. But there are opportunities, based on current rates it seems fair to assume that the headwind from foreign exchange should ease somewhat and not weigh on our profitability as much in the first half. So far the European car markets have fared better than what we forecast and with a notable exception of France we expect this trend to continue in the second half. This has led us to upgrade our forecast for the European market which we see up 3% to 4% this year. Last but not least I think we can be satisfied with our improvements in our overall competitiveness. We have indeed started to see the fruits of our efforts to contain fixed cost. This should continue in the second half of the year albeit not if the same pace in the first half. Given our cycle plan R&D expenses should weigh more on our operating profit in the second half compared to the first half while the capitalization rate should not be as high. To conclude my presentation I want to say that we’re looking to the near future with a degree of caution but also with confidence given our results. We’re following the course we set with our mid-term plan and have focused our energies on execution. It is with that frame of mind that we’re confirming our guidance today for the full year. Thank you for your attention. I will now hand the call back to the conference operator for the question and answer session.
Operator: The first question is from Gaetan Toulemonde, Deutsche Bank.
Gaetan Toulemonde – Deutsche Bank: Dominique, I understood your point on Monozukuri and seasonality impact but last year you did approximately 600 million, 200 million first half, 100 million in the second half. This year it's roughly 400 million in the first half. Can we get for the full year more than last year or it's just the reversing between the two semester?
Thierry Bolloré: There is a clear difference in seasonality this year compared to last year and that’s why even if we’re very happy to be ahead of the course at the end of the day our prospect that we will be in-line with our initial plan and with good confidence.
Gaetan Toulemonde – Deutsche Bank: Okay and the initial plan compared to last year? I saw some comment on the screen a couple of months ago that you were expecting higher synergy approximately 20% more than last year in terms of synergy from the alliance. Does that mean that the portion of this incremental 20% would go to the bottom line, is that -- can we get more than 600 million this year?
Thierry Bolloré: This is not what we have in mind at the moment and it is clear that if we’re working at increasing our synergies with the alliance converge functions this will come later and not in the second part of the year.
Gaetan Toulemonde – Deutsche Bank: My second question last one is regarding the inventory and reduction at the independent dealer is most of the work done i.e. for the second part of the year? Should we have a stabilization?
Dominique Thormann: Well Gaetan I think as you know inventory follows seasonal patterns, it follows sales and the mix the geographic mix of our sales. So where we’re at the end of June is where we wanted to be. Clearly we will -- you will typically see inventory increase in Q3. The plant shut down for a number of weeks in some countries and you’ve to rebuild stock going into the last quarter of the year. So I would expect to see a higher day supply at the end of September and then you will probably see it back to a seasonal pattern at the end of the year. But at the end of June we’re parked where we wanted to be.
Operator: The next question is from Charles Winston, Redburn Partners.
Charles Winston – Redburn Partners: Just the impact from FX in the first half was quite a bit less than I had been expecting and I haven't managed to go through the detail but looks as though the drops is perhaps little bit less than the initial figures you were talking about. I was wondering if you could give that a lot of these emerging market currencies we have seen have rallied in the past 2 to 3 months. Have you got an idea as to what you think the impact from FX might be in the second half and perhaps even some early thoughts to 2015 if the spot rates remains where they were. My second question is just on the price mix enrichment figure in the profit line, the bridge. Just wondering that if again you talked about a number of items behind that do you think that’s minus 177 is going to be a good guidance for the second half or do you think that perhaps some of the moves he has made since Twingo will be launched perhaps some of the advertising, that you’ve been doing on the Renault brand, is that likely to ease back or is a another fairly large negative line [ph] that you would be thinking about? Thanks a lot.
Dominique Thormann: I wish I had a crystal ball on foreign exchange like many others. I think we would be very rich if we knew where they were going to go but yes the drop through is a bit less than what we expected. Now there was a material improvement in the second quarter clearly compared to the first quarter. The worst of it was Q4 of last year and Q1 of this year in terms of overall impact. Now some of this also it takes time to react and to rebalance things internally. So we have been able to benefit from sourcing decisions in currencies that ultimately ended up being weaker and worked in our favor. I called out the Turkish Lira as one example. I think you know that we’re we produce quite a bit in Turkey and its export driven. I could also mention Pound Sterling which has been certainly a favorable to us as our sales have increased they have -- that has also helped offset part of the severe headwinds in the other currencies. So it's a mix bag. Right now I think that we’re calling foreign exchange as a slight positive in the second half. I don’t think that from what we see today that we will fully recapture levels that we have seen back a few years ago. But certainly the trend in the last few months is definitely more encouraging and should mitigate some of the drop through to the operating line. On your other question, on the mix price and enrichment bucket. I will hand over to Jérôme if you don’t mind.
Jérôme Stoll: So for sure I was expecting a little bit in terms of this place regarding the price. I would like to make two or three comments on this specific topic. First of all you have to keep in mind that on our market despite the good evolution of our European market the global European market is at the level of 1996. So it's still very, very low and it means that there is still kind of price war on this specific region. Regarding the other region outside Europe you will perfectly understand that some of them are dropping so fast and so far that instead of use that -- the price cannot be an easy issue. Nevertheless the second point I wanted to stress is that we have not changed our pricing policy. I mean we want to speak to what we have been doing over the last few years. We want to stay better than the basket of our competitors and this is exactly where we’re today. Obviously because our product are aging little bit like Twingo, like Sandero especially in Brazil or like even Megane in front of some launching of new cars from our competitors. It's clear that we have to take some action regarding this and the pricing positioning as I would say being worsening a little bit by one point against the basket but we’re still all-in-all better than the basket as it was our policy and it's still remain our policy. What will be the forecast for the second half of the year? We expect from the launch of Sandero in Brazil to have a better situation. We expect from Twingo launch in the second half of the year to have a better situation, better price positioning. So as far the product are concerned we feel more confident that we’re going to face an improvement. Nevertheless you know that in Europe the structure of our price is little it I would say high of the AME than in other countries and if the weight of Europe still continue to increase there will be a little bit in global account you will see kind of upsetting of this good news of incoming products by the mix of region which may affect a little bit our account.
Operator: The next question is from Jose Asumendi, JPMorgan.
Jose Asumendi – JPMorgan: The first one on Monozukuri cost savings and specifically on purchasing and manufacturing as well as logistic cost. I’m struggling to understand why the second half cost savings will be lower than the first half when personally second half has been stronger. The second on Avtovaz, do you have a margin target or profit that you would like to see before you consolidated the asset. You have mentioned that before ’15 it will not be cost related. I’m just wondering how you think about it, is it market trend or is it profit levels within the operations you need to see first the consolidate the business and finally on working capital, can you please remind us what is your full year guidance on working capital base? Thank you.
Thierry Bolloré: For the cost, it's Thierry speaking, in fact the real issue that we have difference in seasonality as I mentioned which means that the cost savings in the first part last year were not as high as this year and this is also a lot explained not that much because of purchasing or because of manufacturing cost savings but significantly because of R&D because we know that we’re going to spend more in the second part of the year than in the first part and this is reversed compared to last year and this is the key elements of expiation [ph].
Dominique Thormann: Yes on Avtovaz the consolidation issue does not relate to their own performance. I think that they have announced a number of restructuring moves and the is relating more to the integration of their accounts into ours and this is something that is currently is being worked through and we will do that in 2015 but it is not related to their own performance metrics. I think that they have announced a number of targets in the mid-term which should arrive at levels which are very close to the ones that we set forth in our mid-term plan. On working capital there are always the seasonal variations and fluctuations but I would expect the full year to be much less negative than in the first half so you should see something that would be closer to a balanced working capital requirement with once again our guidance which is to deliver a positive free cash flow for the year so that factor will and as you’ve seen from our first half the negative free cash flow is clearly driven by the working capital requirement that increased in the period. So that’s where we can guide you on cash and working capital.
Operator: We have a question from Kristina Church with Barclays.
Kristina Church – Barclays: I just had a follow on question on working capital again I’m afraid. Just to come back to the seasonality effects, I understand the key of three seasonality in terms of the summer shut downs but I’m just struggling to understand on slide 23 exactly why your working capital swings in opposite direction between independent dealers and the group every quarter so that you’re drawing down the dealers but building a group et cetera. If you could just talk a little bit about that phasing every quarter of the year and then again if further coming back to Charles’s question on the price mix impact in the walkthrough sort of specifically the mix net enrichment line, the negative 177 million. Is some of the impact in the negative -- the profitability in Russia because my understanding in European profitability is stronger than the rest of the world. You’ve been selling very well in Europe and that year in particularly and various brands have been selling very well and the mix of products is been very strong with the Kaptur et cetera. So just trying to understand exactly what in terms of mix, is it geographical mix or is it really more product? Thank you.
Dominique Thormann: Kristina, the working capital -- the negative variation in working capital this half year is the result of an adjustment in inventory. I think that from the graph that you’re calling out on page 23, you can see that the group stock increased in the period of approximately 58,000 units which was built for sale in the second quarter but that was -- that value is on our balance sheet and there is I believe an appendix that will show you the working capital buy factor which is between your payables and receivables. The biggest negative factor in the bridge in the working capital bridge is inventory. So as we were working through number of transitions, don’t forget we have significant run-outs of key models in high segments, in high volume segments such as Twingo, Sandero, Logan in the non-European markets and the way that it was managed through the period was to come in at a lower level of ending balance so that we could go into the second half of the year with a clean slate for the launch of the new vehicles. On your mixed question, the mix we are referring to is not geographic mix it's mainly segment mix. There has been more of a shift in our sales as well as in certain markets to A and B segments versus C and D segments as an example. So our own cycle plan has been reinforced by the success of cars such as Clio and Kaptur but also Sandero which is very, very strong and we’re managing the run-out of some of the larger cars in the coming months. So that’s where the mix is coming from. I think Jérôme has got a few follow on comment for that.
Jérôme Stoll: Just to answer more properly your question regarding the region mix and you were referring to Russia. I would say (indiscernible) which is the region where Russia represent more than 90% of the total. (Indiscernible) should remain with weight of around 8% of our total registration volume which is exactly the same percentage in first half and second half. We expect despite the slowdown in Russian market we expect to perform better than market and to increase our market share again in Russia because we’re going to benefit from the introduction of the Sandero and the very successful of Logan in the very recent period of time. So we expect to increase again our market share in Russia and therefore the weight in terms of registration will remain in the second half compared to the first half.
Operator: We have a question from Philip Watkins, Citi.
Philip Watkins – Citi: In terms of regional profitability, I remember there was a time recently where we had a good feeling of how it varied by region. I was wondering what will you be prepared to say about how comfortable Russia and South America are versus Europe now in terms of EBIT. I mean are you actually still making profit in a market like Russia from a EBIT perspective and in South America given the declines in market. Thank you.
Dominique Thormann: As you know we don’t disclose regional profitability but the main impact in Russia came from the conversion of the Ruble back to Euros local profitability was maintained once again with the ebbs and flow relating to normal business practices when you manage the run-out of a vehicle in one of our Q vehicles because we have a very limited but very concentrated line up in Russia compared to the incoming vehicle. So it's remained a very profitable part of our operations and once again most of the impact -- negative impact is coming from the conversion of the currency. But I think that currency is most of the driving force behind some of the emerging market profitability converted back into our accounts but as you’ve seen we have managed to improve our overall margin and that’s a combination of many things but the regions do contribute to the total.
Philip Watkins – Citi: So you could characterize it, it's a very profitable before the impact of currencies is that what you going ahead with it?
Dominique Thormann: Yes.
Operator: Thank you. We have a question from Horst Schneider, HSBC.
Horst Schneider – HSBC: First of all I want to know regarding the production outlook for H2. If you want to have a higher production increase in sales growth, I mean we have seen an H1 that production came down and was slower than the sales growth. So that’s the first question then the second question that I have is what I still don’t understand is by the revenues per unit was so low especially in the second quarter it strikes me that you have got a quite negative volume impact if I’m right and despite increase to sales relatively significantly in Q2 so maybe you can explain again what was the reason for the negative volume effect and then certainly it strikes me that you’re in decapitalization has moved up significantly in H1 so maybe you can comment a little bit on that and then maybe let us know what is outlook for H2 and R&D capitalization? Thank you.
Dominique Thormann: Let me take the first one or your second question actually on volume. The adjustment in Q2 is coming from inventory. I think that’s what is the driver behind the lower if you’re making a calculation of revenue in the second quarter. I will just hand over to Thierry Bolloré on the production outlook.
Thierry Bolloré: So our prospect is to have a slightly higher production level in H2 compared to H1.
Horst Schneider – HSBC: And R&D capitalization?
Dominique Thormann: Your R&D capitalization rate--
Thierry Bolloré: The prospect we have for the capitalization rate is that it will be slightly lower in the second part of the year compared to the first part of the year. Additionally linked to our cycle plan recently.
Horst Schneider – HSBC: Let me come back to the sales related to production. I mean should I assume that H2 volumes will be smaller than H1?
Jérôme Stoll: You have to also now to keep in mind flow of revenue which comes from sales partner. We’re increasing our sales to Nissan with in some region by selling the Duster, the annual mainly in Russia and in India for instance we’re selling more and more engines also to them and we’re going to start to sell to (indiscernible) Nissan in the second half so it's clear that the sales to partner will increase in the second half and therefore you will have less -- clear reconciliation between the registration and the production of the volume of sales. So we will have to be a little bit more precise maybe through additional talk.
Horst Schneider – HSBC: Okay. But it sounds as if then revenues in H2 will be higher than in H1, right for automotive.
Dominique Thormann : We haven't said that Horst. I think the first of all it's going to depend on foreign exchange obviously on the currency assumption because had it not been for foreign exchange the top line actually would have increased by about 1%. So it depends on the exchange rate assumption that you’re going to make.
Jérôme Stoll: Normally, yes. The second half will be a little bit higher than first half.
Operator: The next question is from (indiscernible) Exane.
Unidentified Analyst: I have two questions please. Coming back to the improvement of price mix we talked about earlier. I think Jérôme was saying that there is a big slowdown in the BVMs that is impacting pricing. If we think about BVMs today you’ve a lot of capacity coming onstream on BVMs by 15 around 25% increase. At the same time if we look at the launches I believe Kaptur is mix neutral, Twingo is a mix dilutive, the Megane won't arrive before end of next year. So how can you think of an improvement in price mix, what are the drivers behind this, is that from Sandero in Brazil? And how should we think of the magnitude of price mix an issue when you talk about an improvement, is it H2 versus H1 and what magnitude please? And the second question is on the sales to partners, big drop through obviously into EBIT. I was just wondering how much of this is driven by the C Class engines in H1 and what that magnitude should we expect because it's quite hard to forecast. Thank you very much.
Dominique Thormann: Robi [ph] let me just take the sales to partners question. There are -- you can bucket it in different ways. First of all there is LCV business which is sales of Citan that is manufactured by Renault, sold to Daimler and sales of vans which is the Opel and Vauxhall brand of the Trafic which is currently rebadged and sold to them. You then have series of vehicles and components sold with the alliance to Nissan so Jérôme [ph] said that there is now a version of Duster sold to Nissan under their brand for sale under the Terrano badge and we also sell to them engines and mechanical components primarily diesel engines in the European market and then that business was expanded for sale to Daimler with the engines also -- diesel engines for their own brand in the A-Class and B-Class cars and then more to come in future years. In addition to all of this there is then the Twingo smart project which is coming into production and will be progressively on sale in the coming months starting with Twingo and then their variance of this vehicle that will be sold to Daimler under the their brands. So that business is, that’s how you should view that business in terms of the where it's being sourced and what types of sales we’re carrying out. On your mixed price question I will hand back to Jérôme.
Jérôme Stoll: There are two things I wanted to make it clearer is regarding the arrival of Sandero especially in Brazil where we do expect the second half the transaction condition will be better I mean especially in TPVA we expect to reduce significantly our VME in Brazil because the new product is very well accepted by the market when it was presented to journalist [ph] just a couple of days ago. And as far as Twingo is concerned in Europe, it's exactly something the Twingo II actually was quite aged and in order to sustain the production in the later period of time obviously we will put some VME. We do expect that with the very attractive product that you can see on your screen now. We have a good confidence to position this product in far better situation than the other one. So this two position that you wanted to make. Obviously on the Megane segment on the C-Segment it will be another story because the renewal of this segment will come later in 2015 and in the following months. So during this period of time we will have to struggle again.
Unidentified Analyst: Okay but just thinking about the improvement you talked about on price mix, if I look at the minus 177 million you booked in H1 this year, how much of this roughly is from Twingo and when you say improvements are you talking an improvement versus H1 or?
Jérôme Stoll: I have not talked but this price mix is between the different version, I do expect that Twingo will improve in terms of turnover by unit because in terms of PVA because we’re going to reduce the VME.
Unidentified Analyst: Okay but still negative price mix in H2 right?
Jérôme Stoll: Likely depending on the FOREX for sure but likely.
Operator: The next question is from Thomas Besson, Kepler Cheuvreux.
Thomas Besson – Kepler Cheuvreux: I would have two questions please. Could you comment on the inventory situation by region please and can we assume that the absolute volume decline you’ve been able to manage has effectively been achieved as well in emerging markets, it would be the first question.
Dominique Thormann: There is not a significant issue and it wasn’t. The inventory situation is often times driven by transit shipment in transit but in most of the adjustment was done globally, there isn't a particular issue that I think we can call out right now.
Jérôme Stoll: Two additional comment on what Dominique was saying. We are facing a slight increase in inventory in Americas because we produce some cars in Brazil which were supposed to shipped to Argentina and because of the situation of Argentina we have been obliged to keep these cars in Brazil during a period of time until we adjust the production scheme which is currently the case. So we have definitely at the end of June a kind of slight over inventory in America and maybe a little bit also in India but basically all in the rest of the world it's mostly a structural inventory based on our activity region by region that you can notice.
Thomas Besson – Kepler Cheuvreux: Second question please, I understand you are not willing necessarily to talk much about regional profitability but in terms of magnitude of swings could you characterize the improvement you enrolled in Europe first, talk about the operating leverage of these operation and how much will you gain on your fixed cost in H1’14 versus H1 ’13. And in Korea which was still I think probably loss making in H1 ‘13 and it should have turned positive assuming H1 ’14. Thank you.
Dominique Thormann: Yes Tom we don’t disclose regional profitability but I think to give you a little bit of guidance the operating -- Europe is equivalent to all of other regions put together. So the operating leverage in Europe is much higher than it is elsewhere, it's also the part of the world where we have the most fixed asset so clearly this has an impact. Now that doesn’t mean that structurally the other regions as you know are not profitable. They indeed contribute, you’re right to call out South Korea which is in the midst of their revival plan which was started last year, actually the end of the year before that and they are currently experiencing a rebound in both sales and profitability. The new vehicles that have been launched QM3 were sold out in a matter of minutes once they were put on sale and are being delivered. So they are coming back to a positive contribution. I think we have guided you last year to tell you that South Korea was aiming at breaking even at the end of 2013 which is what they accomplished and they are on the path right now to delivering actually everything that was said in terms of improvements of their cost base as well as manufacturing which is starting in the plant for export. So South Korea is on its recovery path.
Operator: Thank you. The final question is from (indiscernible), Societe Generale.
Unidentified Analyst: Two quick question. One is regarding the situation on the plant in your site. I like to know if there is some lever to expect in some of the year regarding some plants which should get much higher utilization rate of capacities like Sandouville or Novo Mesto in South Korea. Could we see some level on that type and the second question regards the operation, you gained some market share in first half of the year. You should gain some market share in second half thanks to the Sandero. In terms of profitability how is your present situation in Brazil given the volume impact which is positive for you?
Thierry Bolloré: I will answer the first question concerning the evolution of utilization of capacities and it is true that you will have many co-plans which are going to have a ramp up very significantly which is Sandouville, Douai, Palencia and Novo Mesto for obvious reasons which are linked to the new products. In Sandouville with Trafic and in Douai with newest Pas [ph], in Palencia also we will have the preparation of new product which is a C-Crossover and then Novo Mesto with the Twingo.
Jérôme Stoll: As far as Brazil is concerned it's appeared that we were already very satisfied with the result -- the commercial result at the end of the first semester because we reached the highest market share in Brazil but we’re confident that with the introduction of B50 to Sandero. In Brazil we’re going to keep on going increasing our market share again in second half. So the situation is quite good in terms of market share. Obviously as you know we have reforecasted a drop in the market globally for the goal of minus 5. So we don’t know exactly what will be the impact of the IPI and you also have to consider that the economy and the financial situation of Brazil is also little bit linked with Argentina because Brazil is exporting cars to Argentina. So I cannot tell you more about the profitability but basically with the local business, the local operation business with the situation of B52 I feel more confident in terms of market share at least.
Operator: Thank you. We have no further questions.
Dominique Thormann: Okay so since there is no more questions, thank you for being on the call today. I know it's going to be a very busy day for you guys but if you have further questions Alain and myself would be available to answer these questions. Have a really good day. Bye.
Operator: Ladies and gentlemen this concludes the conference call. Thank you all for your participation. You may now disconnect.